Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss SUI Group Holding's financial and operating results for the third quarter ended September 30, 2025. Joining us today are SUI Group's Chairman of the Board, Marius Barnett; Chief Investment Officer, Stephen Mackintosh; Chief Executive Officer, Douglas Polinsky; and Chief Financial Officer, Joseph Geraci. By now, everyone should have access to the company's third quarter 2025 earnings press release, which was issued yesterday afternoon at approximately 4:05 p.m. Eastern Time. The release is available on the Investor Relations section of the company's website at www.suig.io. This call will also be available for webcast replay on the company's website. Following management remarks, we'll open up the call for your questions. Please be advised this conference call will contain statements that are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. The forward-looking statements are subject to certain known and unknown risks and uncertainties as well as assumptions that can cause actual results to differ materially from those reflected in these forward-looking statements. These forward-looking statements are also subject to other risks and uncertainties that are described from time to time in the company's filings with the SEC. Do not place undue reliance on any forward-looking statements, which are being made only as of the date of this call. Except as required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements. For important risks and assumptions associated with such forward-looking statements, please refer to the company's SEC filings.
Marius Barnett: Thank you, and good morning, everyone. I'm pleased to welcome you all to our first earnings call as SUI Group Holdings. I'd like to start by giving you a brief background on myself and why we believe the Sui ecosystem is one of the most promising blockchain ecosystems in the world. By way of background, I'm the Co-Founder of a London-based hedge fund named Karatage, focused on emerging technologies across digital assets, AI and gaming. Throughout my career, I have focused on identifying high-impact technologies with global adoption potential, and I believe Sui blockchain represents one of the most promising technological platforms of our time. What initially drew me to Sui was the unmatched intellectual capacity and technical pedigree of its founders, now known as Mysten Labs. The team was originally hand selected by Mark Zuckerberg to develop Diem, formerly Libra, Meta's ambitious blockchain project aimed at building a global digital currency. These engineers designed the Move programming language and the underlying blockchain architecture that enabled secure, high-speed and scalable transactions within Meta's ecosystem. When Diem was discontinued, its core architects carried their vision forward, founding Mysten Labs in 2021 to create what would become Sui. The same world-class engineering rigor that began at Meta now powers the Sui network, and it was this combination of technical excellence, scalability-focused design and real institutional credibility that made me believe that the Sui ecosystem has the ability to define the next era of blockchain infrastructure. For those of you who are unfamiliar with Sui, Sui itself is the next-generation Layer 1 blockchain designed for speed, scalability and real-world application. Its object-centric architecture and horizontally scalable design allow for near-instant finality, enabling use cases across finance, gaming, artificial intelligence, stablecoins and beyond. We see SUI as the infrastructure layer for the next chapter of the Internet, a blockchain built for mainstream institutional-grade adoption. The Sui stack represents one of the most advanced comprehensive architectures in blockchain infrastructure today, purpose-built to support real-world high-throughput applications. At its core is Move, Sui's native programming language, which enables fast, secure and scalable smart contract execution. Layered on top of powerful tools like Walrus for decentralized storage, DeepBook for on-chain liquidity and Seal for enterprise-grade data security. Beyond its scalability and security, Sui is purpose-built for the next era of agentic AI, a world where autonomous software agents can independently transact, learn and execute tasks on behalf of users and institutions. Its [ paralyzed ] architecture and programmable transaction blocks make it capable of handling the high-volume, low-latency activity required for real-time AI-driven commerce. This design was recently showcased through the agent to payments AP2 protocol, a collaboration between Google and Mysten Labs, which demonstrated how Sui enables multiple verifiable transactions to settle atomically within a single block. By combining sub-second finality, secure on-chain execution and identity solutions like zkLogin, Sui provides a technical foundation for a new class of machine-to-machine transactions with digital agents to manage value, permissions and data autonomously. In short, Sui is the only blockchain designed to power the coming intersection of AI, automation and decentralized finance, positioning it at the center of agentic Internet. Our conviction in the Sui ecosystem is not theoretical; it is both strategic and operational. When we first partnered with the Sui Foundation earlier this year, our vision was clear: to position SUI Group as the first publicly traded company with an official relationship with the Sui Foundation and to build a foundation-backed digital asset treasury company anchored to the native cryptocurrency of the Sui blockchain. Through this relationship, we are aligned with the foundation's mission to advance decentralized technologies that can scale globally, and we believe this partnership positions SUI Group to deliver both institutional exposure and deep insight into one of the fastest-growing blockchain ecosystems in the world. Since launching that initiative, we have executed by establishing our Sui treasury, completing our corporate rebrand and scaling our holdings to over 100 million SUI tokens as of quarter end, transforming our vision into measurable progress. On the regulatory front, we are encouraged by the momentum emerging across the digital asset landscape, which continues to support our long-term strategy. The GENIUS Act is helping clarify the treatment of yield-bearing stablecoins, establishing a framework where transparent on-chain yield models can operate within defined regulatory boundaries. The CLARITY Act, if passed by Congress in its current form will provide long-overdue guidance distinguishing digital commodities from securities, a critical step towards unlocking broader institutional participation in blockchain markets. In parallel, Project Crypto, a joint initiative by the U.S. Treasury and Federal Reserve is exploring the use of blockchain-based settlement systems signaling the federal government's recognition of distributed ledgers as the future foundation for financial infrastructure. Collectively, these developments create a constructive regulatory tailwind for platforms like SUI Group. We've also seen SUI recognized at the forefront of agentic commerce innovation through its participation in Google Cloud's Agents to Payment Protocol (sic) [ Agent Payments Protocol ] initiative. This new framework enables AI agents to autonomously initiate and settle payments using blockchain infrastructure. Sui was selected as a launch partner for AP2, where it demonstrates how its programmable transaction blocks and object-orientated architecture can support concurrent multiparty transactions in a single atomic block, exactly the type of scalability required for AI-driven financial activity. The collaboration with Google DeepMind and the broader AP2 ecosystem highlights how Sui's architecture is uniquely suited for the coming convergence of AI, digital identity and real-time programmable payments. For SUI Group, this further validates our decision to align our treasury and infrastructure strategy with the Sui blockchain, positioning us to participate directly in the next era of intelligent autonomous finance. Before turning it over to our Chief Investment Officer, Stephen Mackintosh, I want to emphasize that this is a long-term infrastructure thesis, one grounded in scalability, transparency and value creation. We believe Sui is capable of defining the next generation of decentralized applications and that SUI Group will stand at the center of that transformation. With that, I'll pass it over to Stephen to walk you through our third quarter operational updates.
Stephen Mackintosh: Thank you, Marius, and good morning, everyone. Before diving into our operational updates, I'd like to take a moment to share my background. Prior to joining SUI Group, I worked alongside Marius as a Co-Founder of Karatage. My career is centered around identifying and scaling emerging technologies at the intersection of AI, automation and digital assets. Prior to Karatage, I served as Chief Commercial Officer at Re:infer, a natural language processing company that was acquired by UiPath in 2022, where I helped integrate machine learning into enterprise automation. I've also served as an adviser to the Web3 cohort at Entrepreneurs First, an incubator that has launched more than 600 start-ups with a combined valuation of over $11 billion. That background, combining venture investing, AI commercialization and Web3 strategy is what informs how we're building SUI Group's digital asset platform today. We launched SUI Group with a simple promise to create the world's first publicly traded digital asset treasury company with an official relationship with the Sui Foundation. The digital economy is entering a new phase where blockchain networks, AI and real-world assets are converging, and institutional investors need a regulated transparent vehicle to participate in that growth. Our goal is to meet that demand through a treasury model that combines the discipline of traditional capital markets with the scalability and yield generation of blockchain infrastructure. At its core, SUI Group was designed to drive long-term shareholder value through 3 key objectives: accumulate and stake high-quality digital assets, beginning with SUI, the native token of the Sui blockchain to generate recurring yield and price appreciation potential; deploy capital into an on-chain ecosystem opportunities that produce real returns such as validator operations, lending and stablecoin infrastructure; increase SUI per share, our primary performance metric by executing accretive capital raises, using proceeds to acquire additional SUI at favorable terms and repurchasing shares when trading below net asset value. Every decision we make from partnerships to treasury deployment is designed to expand our SUI per share, enhance our earning capacity through staking and DeFi yield and strengthen our alignment with the broader Sui ecosystem. In short, we are working to build a scalable yield-generating digital asset balance sheet that provides value for shareholders while advancing one of the most innovative blockchains of our time. Our vision is to build a robust Sui treasury that serves as the liquidity engine and capital allocator for the Sui ecosystem. As our holdings scale, we aim to operate as a strategic focal point within the network, deploying capital where it accelerates infrastructure growth, capitalizes ecosystem adoption and generates sustainable SUI-denominated returns. Rather than limiting our treasury to passive staking, we intend to structure creative, yield-accretive partnerships with core infrastructure providers, DeFi protocols and application builders on Sui , financing the deployment of real businesses that enhance network utility while delivering returns that outperform native staking yields. With our experience at Karatage and long-standing relationships across the digital asset industry, we have the institutional credibility, operational depth and capital discipline to execute this strategy. In essence, we believe SUI Group could function as the on-chain balance sheet of the Sui ecosystem, a scalable source of liquidity designed to strengthen the network's economic foundation while compounding long-term value for Sui shareholders. A key example is our collaboration with Ethena and the Sui Foundation to launch suiUSDe and USDi, the first native stablecoins on the Sui blockchain. This initiative represents an industry-first collaboration between a publicly traded digital asset treasury company, a blockchain foundation and a leading stablecoin issuer. The structure is expected to be capital efficient, launched at low cost to our business and designed to generate cash flows that will be used to grow our Sui treasury and strengthen our balance sheet. These stablecoins leverage Sui's high-speed composable Layer 1 infrastructure to combine dollar stability with decentralized performance, unlocking new utility for DeFi applications, payments and institutional use cases. The formation of this partnership marks a step in our evolution from a traditional treasury company into an infrastructure builder, driving ecosystem liquidity, fostering adoption of the Sui network and creating scalable recurring economic value for shareholders through yield, token buybacks and ecosystem participation. More recently, we launched a partnership with Bluefin, the leading decentralized exchange on the Sui blockchain to expand institutional participation across the Sui ecosystem. Under the agreement, we will lend 2 million SUI tokens to Bluefin. And in exchange, we will receive a 5% revenue share from Bluefin payable in SUI. This partnership is intended to extend beyond just capital. It is about building the bridge from Wall Street to Sui, leveraging Bluefin to accelerate the entry of hedge funds, asset managers and market makers into decentralized markets. As adoption scales, Sui shareholders are expected to benefit from the growth of institutional trading activity on the Sui blockchain, creating a differentiated recurring value stream separate from the traditional staking yields. We are proud to partner with the Bluefin team to deliver a leading trading experience on-chain, demonstrating our ability to deploy liquidity strategically, drive network adoption and capture long-term ecosystem value. To summarize, over the past quarter, we expanded our treasury holdings, established innovative partnerships and completed certain value-accretive share purchases, all while laying the groundwork for new revenue-generating initiatives within the Sui ecosystem. Under our new authorized $50 million stock repurchase program, we repurchased approximately 276,000 shares of our common stock, a high-conviction investment that we believe is immediately accretive to existing shareholders and underscores our confidence in our long-term fundamentals. These actions reflect our commitment to building a scalable, transparent and durable platform that aligns long-term shareholder value creation with the growth of the Sui network. I will now turn the call over to Doug Polinsky, SUI Group's Chief Executive Officer, to provide an update on our specialty finance operations. Doug?
Douglas Polinsky: Thank you, Stephen, and thank you, everyone, for joining today's call. For those who are new to our company, SUI Group's legacy nonbank lending and specialty finance business originated under Mill City Ventures III, providing short-term secured lending solutions to businesses and individuals seeking nonbank financing for real estate, inventory and other liquidity needs. These loans typically have maturities under 9 months and are backed by collateral or personal guarantees, generating revenue through interest income, origination fees and closing fees. Our legacy lending business continues to perform well, providing a profitable and cash-generative foundation for SUI Group. All outstanding loans are performing as expected, generating consistent returns through both interest income and origination fees. For the quarter, we reported approximately $1.6 million in interest and origination revenue, more than double the $711,000 recorded in the same period last year. We also recognized $525,000 in unrealized gains on our investment portfolio compared to an unrealized loss of $305,000 in the prior year period. Together, these results highlight the strength of our lending operations, a profitable nondilutive business that limits cash burn and provides steady earnings and liquidity to support the growth of our digital asset treasury initiatives. While we remain opportunistic with our specialty finance opportunities, our primary strategic focus has now evolved towards building an industry-leading digital asset treasury platform aligned with the Sui blockchain. With that, I'll turn the call over to our Chief Financial Officer, Joseph Geraci, to take you through our financial results. Joe?
Joseph Geraci: Thank you, Doug. A quick reminder, as we review our third quarter financial results, all comparisons and variance commentary refer to the prior year quarter unless otherwise specified. Please note that these results reflect only 2 months of our activity from our newly implemented Sui treasury strategy, which launched on July 31, 2025. Due to our recent strategic shift from our specialty finance business toward blockchain native treasury management, our historical financial condition and results of operations for the period presented may not be comparable. Gross revenue and portfolio investment income for the third quarter of 2025 increased to $2.6 million compared to approximately $711,000 in third quarter 2024, driven by the generation of staking revenue following the adoption of our new treasury strategy. Our third quarter 2025 results included $60.7 million noncash unrealized loss related to mark-to-market accounting adjustments on our Sui holdings. Please note, this is a U.S. GAAP required treatment that reflects changes in estimated fair value and does not represent an actual outflow of cash or impact to our liquidity. As a result, total operating expenses, excluding net realized and unrealized gain on portfolio investments in the third quarter of 2025, were $64.7 million compared to approximately $420,000 in the third quarter of 2024. Excluding the aforementioned unrealized loss on digital assets and stock-based compensation, operating expenses for the third quarter of 2025 were $1.7 million. Net loss for the third quarter of 2025 was $44.3 million or $0.72 per share diluted compared to net income of approximately $464,000 or $0.07 per diluted share in the third quarter of 2024. The decrease was primarily driven by the aforementioned noncash unrealized loss on our Sui holdings. As of September 30, 2025, cash and equivalents were $42.7 million compared to $6 million as of December 31, 2024. As of September 30, 2025, the last day of the quarter, SUI Group held 105,681,292 SUI with a net value of $344.5 million. This concludes our prepared remarks. We will now open it up for questions from those participating in the call. Operator, back to you.
Operator: [Operator Instructions] Our first questions come from the line of Brian Kinstlinger with Alliance Global Partners.
Brian Kinstlinger: When evaluating deployment of capital to companies like Bluefin or other protocols, what key metrics or criteria do you prioritize: yield, security, network activity or something else? How do you weigh counterparty risk versus returns? And then lastly, on Bluefin, what's the duration of that agreement?
Marius Barnett: Brian, thanks for that. First of all, the duration of that agreement is 3 years, and it's in our options, SUI Group's option to extend that agreement for 3-year terms at its election. In terms of looking at the counterparty risk here, currently, they're annualizing approximately $14.5 million per annum of fees. Looking at that, that represents circa 15% return year-on-year in SUI paid in SUI, which gets paid on a bimonthly basis. In terms of looking at the counterparty risk, this is a group that is very well known to the Sui ecosystem, interacts with the Sui Foundation on a daily basis. We conducted due diligence on this together with the Sui Foundation, including all the founders. And we believe it's a very robust business that's supported by the Sui Foundation. They continue, as part of their DeFi rewards program, to support their perps [ stake ] and all the other products, and we're very bullish on their products that they are currently bringing to market. One of their new products is the Vaults [ section ], where they're now running many different vaults on the decks, and we will work with them very closely to continue to expand that business.
Brian Kinstlinger: Great. That's helpful. And then can you talk about the application development progress being made on Google's Agentic Payment Protocol, maybe when you might see some of the initial apps and when you expect it will generate early transaction volumes?
Marius Barnett: Sure. Steve?
Stephen Mackintosh: Brian, thank you for the question. The agentic framework stack is expanding quite rapidly on Sui at the moment. In addition to the Google AP2 partnership, there was a company announced just in the past 2 weeks called Beep, which has a founding executive team from PayPal and also from, I think, Walmart, who've been in the payments and merchant space for a long time. And that agentic wallet is now live on Sui, where users can deposit into that wallet, speak to the wallet's UI through a natural language [ combined ] online interface and actually get automated agentic yield return. As part of the Google partnership and in answer to your question, it's actually a broad consortium of different partners, so it's very much up to the different industry players to come together to start pushing through those agentic use cases into production. I think that when there will be an announcement for the public, we will be sure to communicate that through the Sui Foundation. But as of right now, I would just stay tuned into the social pages and the official channels to see which of the industry partners are demonstrating how that comes to life.
Brian Kinstlinger: Great. My last question is maybe you can just touch on your native stablecoin launch, how you'll generate -- for investors, how you'll generate incremental revenue in SUI from that?
Marius Barnett: Sure. We're looking at launching that in the next 2 to 3 weeks. We believe that it will launch with approximately $100 million of liquidity in that stablecoin. There are 2 stablecoins. One is suiUSDe and the second one is USDi, which is a one-to-one DAT stablecoin. We have a revenue share agreement with the various parties, including Ethena and Sui Foundation, who all participate in it. It is variable in terms of what we're looking at earnings depending on how much is used in the ecosystem. But long term, we believe that this can be a very good core driver of accumulating Sui in the ecosystem.
Operator: Our next questions come from the line of Devin Ryan with Citizens.
Devin Ryan: A couple, I would say, maybe high-level questions. First off, on just the theme of agentic AI. So obviously, you've touched on why Sui is kind of differentiated there. But can you just talk about functionally how you see AI and blockchain coming together over time? And we're still in the very early days of both technologies so kind of your vision of that, why it's important, where you see kind of value developing? And then if you can just maybe just weave in a bit, too, around why Sui is truly differentiated in your mind from some of the other blockchains.
Stephen Mackintosh: Thank you, Devin, for the question. Yes, I would like to, first of all, kind of address it by drawing a line of differentiation between the Sui blockchain architecture and some of the other high-performance blockchains that the kind of community and the investor audience might be familiar with such as Ethereum, Solana, Avalanche. Those 3 blockchains and many others in the ecosystem are all account-based models, whereas Sui is an object-orientated blockchain. And that came from the team's background as the heads of research and heads of product on the Libra and Diem initiatives at Facebook, which was a rather ambitious goal to release a blockchain network out to 3 billion users. At the time, the Sui team realized that in order to achieve that type of scale, there needed to be a new implementation in the smart contract programming language. So the team invented Move. And when the Libra and Diem project kind of disbanded, the team left and they created Mysten Labs, which built Sui. An object-orientated model is very interesting because it allows for really limitless programmability, which is exactly what you need to execute on the agentic payments future or the agentic commerce kind of future by treating every asset or every agent as an object. What that means is that it can scale in parallel across the network. So account-based models, typically, everything has to settle through one till, one ledger, whereas in the object-orientated blockchain like Sui Move, objects can be agents and assets can be objects, and they can all have parallel settlement, and that can scale really across the network in a number of different use cases. Right now, we have a huge bottleneck when it comes from going intent -- from intent to action with these LLM interfaces. And what the Sui team realized when they set out on this ambitious journey to build a blockchain network that can scale to 3 billion users, they built core pillars of infrastructure that come together to support the canonical high-performance blockchain Sui. They built a protocol called Walrus, which is decentralized programmable storage. They built a product called Seal, which is for key encryption and secrets management. They built a product called Nautilus, which is for verifiable off-chain computation. And they also built a very novel identity protocol called zkLogin, which allows both humans and agents to log in with perhaps your Google single sign-on credentials. And when you put all of those things together, that's actually what's called the Sui stack. And a good parallel is to think through the SaaS industry that's proliferated over the past 10 to 15 years that had really kind of core pieces of infrastructure such as Kubernetes on GCP. They had compute storage, identity querying. All of that came together to allow SaaS to flourish. In Sui now, we have all of those products that come together to resemble the Sui stack, and that's what will allow agentic commerce to flourish. And as I mentioned from my previous response to Brian's question, we're now starting to see the breakout use cases. Beep went live on the network 2 weeks ago. The announcement with Google AP2 was announced about 6 weeks ago, and there are many more kind of exciting agentic breakthroughs coming to the network in the next 6 months.
Devin Ryan: That's excellent. And then as a follow-up, obviously, some nice momentum on partnerships with Bluefin and the connection with Ethena as well. Can you just talk a little bit about the pipeline of partnerships and kind of where you guys are having conversations and where you expect kind of from a use case perspective, kind of next partnerships to come from?
Marius Barnett: Sure. I think from that perspective, we've spoken about this previously that we believe that there's a few core fundamentals of building the business out in the long term, one being liquidity and how we drive liquidity. That includes the partnerships such as Bluefin. The second piece being infrastructure, and that's where we bring on infrastructure to the whole ecosystem, which drives the flywheel of the whole ecosystem. That example is the Ethena stablecoin, and we're looking at various different partnerships, one -- the next one being an ETF -- of launching an ETF in the U.S., which will drive that and we'll again be able to participate in the fees long term of the ETF and being able to drive those types of innovations across the stack. So we have about 5 or 6, but the main priority going forward is the ETF.
Operator: Thank you. That does conclude our question-and-answer session. And with that, I would like to bring the call to a close. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.